Operator: Greetings. Welcome to the AudioCodes Second Quarter 2023 Earnings Conference Call. At this time all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to your host, Roger Chuchen, VP of Investor Relations. You may begin.
Roger Chuchen: Thank you, Holly. Hosting the call today are Shabtai Adlersberg, President and Chief Executive Officer; and Niran Baruch, Vice President of Finance and Chief Financial Officer. Before we begin, I'd like to remind you that the information provided during this call may contain forward-looking statements relating to AudioCodes' business outlook, future economic performance, product introductions, plans and objectives related thereto, and statements concerning assumptions made or expectations as to any future events, conditions, performance or other matters are forward-looking statements as the term is defined under U.S. Federal Securities Law. Forward-looking statements are subject to various risks and uncertainties and other factors that could cause actual results to differ materially from those stated in such statements. These risks, uncertainties and factors include, but are not limited to, the effect of global economic conditions in general and conditions in AudioCodes' industry and target markets, in particular, shifts in supply and demand, market acceptance of new products and the demand for existing products, the impact of competitive products and pricing on AudioCodes and its customers, products and markets; timely product and technology development, upgrades and the ability to manage changes in market conditions as needed, possible need for additional financing, the ability to satisfy covenants in the company's loan agreements; possible disruptions from acquisitions; the ability of AudioCodes to successfully integrate the products and operations of acquired companies into AudioCodes' business; possible adverse impact of the COVID-19 pandemic on our business and results of operations; and other factors detailed in AudioCodes' filings with the U.S. Securities and Exchange Commission. AudioCodes assumes no obligation to update this information. In addition, during the call, AudioCodes will refer to non-GAAP net income and net income per share. AudioCodes has provided a full reconciliation of the non-GAAP net income and net income per share to its net income and net income per share according to GAAP in the press release that is posted on its website. Before I turn the call over to management, I'd like to remind everyone that this call is being recorded. An archived webcast will be made available on the Investor Relations section of the company's website at the conclusion of the call. With all that said, I'd like to turn the call over to Shabtai. Shabtai, please go ahead.
Shabtai Adlersberg: Thank you, Roger. Good morning and good afternoon, everybody. I would like to welcome all to our second quarter 2023 conference call. With me this morning is Niran Baruch, Chief Financial Officer and Vice President of Finance of AudioCodes. Niran will start off by presenting a financial overview of the quarter. I will then review the business highlights and summary for the quarter and discuss trends and developments in our business and industry. We will then turn it into the Q&A session. Niran?
Niran Baruch: Thank you, Shabtai, and hello everyone. Before I start my former remarks, I would like to remind everyone that in conjunction with our earnings release this morning, we will post shortly on our investor relations website and earnings supplemental deck. On today's call, we will be referring to both GAAP and non-GAAP financial results. The earnings press release that we issued earlier this morning contains a reconciliation of the supplemental non- GAAP financial information that I will be discussing on this call. We will be comparing our second quarter 2023 results to the prior quarter as we believe it provides a better gauge of our financial performance. Revenue for the second quarter were $60 million, an increase of 1.4% over the $59.2 million reported in the first quarter of the current year. Services revenues for the second quarter were $28.5 million, accounted for 47.4% of total revenues. The amount of the deferred revenues as of June 30, 2023 was $77.7 million compared to $77.6 million as of March 31, 2023. Revenue by geographic region for the quarter was split as follows: North America 47%, EMEA 34%, Asia Pacific 13% and Central and Latin America 6%. Our top 15 customers represented an aggregate of 55% of our revenues in the second quarter of which 43% was attributed to our 11 largest distributor. GAAP results are as follows: Gross margin for the quarter was 64.1% compared to 61.7% in Q1 2023. Operating income for the second quarter was $2.3 million or 3.8% of revenues compared to an operating loss of $0.8 million or 1.4% of revenues in Q1 2023. Net income for the quarter was $1.1 million or $0.03 per diluted share compared to an operating loss of $0.2 million or $0.01 per diluted share for Q1, 2023. Non-GAAP results are as follows: Non-GAAP gross margin for the quarter was 64.5% compared to 62.1% in Q1, 2023. Non-GAAP operating income for the second quarter was $5.7 million or 9.5% of revenues compared to $2.9 million or 4.9% of revenues in Q1, 2023. Non-GAAP net income for the second quarter was $5.1 million or $0.16 per diluted share compared to $2.7 million or $0.08 per diluted share in Q1, 2023. At the end of June 2023 cash, cash equivalents, bank deposits, marketable securities and financial investment totaled $118.5 million. Net cash provided by operating activities was $2.2 million for the second quarter of 2023. Day sales outstanding as of June 30, 2023, were 95 days. In June 2023, we received court approval in Israel to purchase up to an aggregate amount of $25 million of additional ordinary shares. The court approval also permits us to declare a dividend of any part of this amount. The approval is valid through December 27, 2023. We declared a cash dividend of $0.18 per share. The aggregate amount of the dividend is approximately $5.7 million. The dividend will be paid on August 31, 2023 to all of our shareholders of record at the close of trading on August 17, 2023. Regarding headcount. As discussed last quarter, we undertook actions to reduce headcount to better align our cost structure to the current business environment. These measures were partially reflected in our second quarter headcount figures, ending the quarter with 946 employees, down from 978 in the first quarter. We expect full amount of headcount reduction and associated cost savings to be reflected in our third quarter. Now to providing an update on our guidance. We reiterate our guidance for revenues for 2023 to be in the range of $240 million to $250 million. We're now raising our guidance for non-GAAP diluted earnings per share to be in the range of $0.55 to $0.70 compared to the original range of $0.50 to $0.70. I will now turn the call back over to Shabtai.
Shabtai Adlersberg: Thank you, Niran. I'm pleased to report second quarter 2023 results with meaningful business activity improvement relative to the prior quarter in our key strategic areas. We executed well in a challenging macro environment, with key growth engines, namely Microsoft, customer experience and voice AI growing nicely. We have also seen bookings experiencing measurable improvements relative to the last quarter. Importantly, core business leading indicators such as pipeline remain robust and we saw relative stabilization in non-core lines such as the service provider and IP phones, which was the line contributing the most the drop in revenue in the first quarter of 2023. These factors, coupled with incremental OpEx savings from cost-cutting actions announced last quarter provide us with increasing confidence to deliver on our commitment of delivering significant improvements in operating leverage over the rest of 2023 and beyond. We made good progress in our enterprise business, now reaching 88% of our company revenue. Microsoft related business in the quarter grew 12% year-over-year and 16% sequentially. Core to this growth was Microsoft Teams business, which grew 18% year-over-year. Strong ongoing momentum for AudioCodes live managed services continued with annual recurring revenue exiting the quarter at $40 million and growing over 60% year-over-year. Live total contract value generated in the second quarter grew 75% over the previous quarter. Strong life performance to date puts us on track to achieve our target of $46 million to $50 million objective for 2023, representing approximately 50% year-over-year growth. Zoom related business grew over 20% year-over-year. We also executed well in our customer experience in a conversational AI business with CX delivering 7% growth year-over-year. Overall, we executed well this quarter in our burgeoning success particularly in live puts us on an accelerated path in our long-term transformation to software and services. Talking about the broad-based improvement in business trends that we saw in second quarter, this clearly a validation of the strong competitive moat that we have built in our voice business. Even in the tight budget environment that we are in, enterprises continue to turn to industry leaders such as AudioCodes for voice connectivity services unified communications and customer experience sectors. What best exemplifies the competitive differentiation we have in our software and services solution is our recent Live Cloud Office Pro [ph] contract win with a Tier 1 service provider. This deal enables migration of the carriers and customers to next-gen UC platforms, starting initially with Microsoft Teams PSTN and voice and then to other leading UC platform over time. As a reminder, Live Cloud Pro is a white label audit codes solution, consisting of managed SBC service along with service delivery in total portal for value -- I'm sorry -- for value-add voice services, such as contact center, recording, interaction analytics of meetings for enterprises, tenants and user management. Important to know that this carrier has conducted a thorough competitive bake-up process of the leading SBC vendors in the market before deciding to synthesize on other code solution. Why did we come out on top? We won based on our best-in-class voice connectivity SaaS solution in our broad portfolio of service of devices, software application and services that is unparalleled in the industry. Partners and end customers alike have a strong preference for reducing complexity in our unique end-to-end unified communications and customer experience platform approach provides us with a significant leg up on our competition. While the initial value of this contract award size is small, the long-term revenue opportunity is large. As one, this carrier operates in a market that is the very early stage of cloud transformation. And second, significant upsell potential for our broader portfolio for solutions. We are grateful for this trust that this Tier 1 carrier is placing us as well as others that have made a live and live cloud managed services offering a rousing success. We look forward to providing ongoing update on the progress in our long-term transformation to software and services revenue stream. Before turning to detailed business segment discussions, let's quickly shift to profitability metrics and guidance. Our second quarter 2023 non-GAAP earnings per share was $0.16 in the quarter, exceeding our internal budget. We estimate roughly half of the earnings upside to the higher non-GAAP gross margins and the balance to the lower OpEx in the quarter. Second quarter non-GAAP gross margin was 64.5%, which improved from 62.1% in the previous quarter, driven primarily by more favorable product mix. Second quarter OpEx was $33 million, down from $33.9 million in the prior quarter, with the decline attributable to earlier than expected implementation of the cost-cutting measures announced last quarter. Regarding headcount. Accordingly, we ended the quarter with headcount of 946 full-time employees, down from 978 employees in the first quarter. We expect our OpEx to continue to step down to $32 million in third quarter 2023, down approximately $2 million from the first quarter 2023 levels. On the guidance front, as Niran already stated, we are reiterating our 2023 revenue guidance. While we adjust our non-GAAP earnings per share guidance to $0.55 to $0.70 to reflect better-than-expected second quarter earnings results. This outlook builds in continued conservative enterprise spending environment in our previously announced cost optimization. Now to specific business line operations. First is the Microsoft business. Microsoft business increased 12% year-over-year in the second quarter, which compares with down 3% in the first quarter. That's a very nice improvement. In terms of second quarter Microsoft business, Teams increased 18% year-over-year and 20% sequentially, while Skype for Business was down over 50% year-over-year and 33% sequentially. We are now towards the end of the transition of Microsoft business from Skype for Business Teams. And as such, the negative impact from Skype for Business declined over the past three and a half years becomes negligible going forward. Microsoft business has shown strength mainly in North America and Asia-Pacific, while roughly flat in EMEA. In terms of bookings of new Microsoft business, we continue to see stronger performance in 2023 compared to 2022. Hence, the greater number of sizable live deals that we closed in second quarter in North America and Asia-Pacific, while EMEA region remains subdued. Overall, we added 282 million new Teams accounts in the quarter, up from 250 accounts in the first quarter. On its earnings call last week, Microsoft disclosed over 17 million PSTN users, representing 45% growth year-over-year. The healthy stream of Teams PSTN voice ads in a tightly enterprise budget environment, further underscores the value proposition of adding Teams phone to the overall Teams experience. Importantly, the 17 million-plus PSTN users represent just a fraction of the overall 300 million Teams users -- monthly active users, providing us with ample multiyear runway to drive ongoing penetration gain. One care for us in the Microsoft business is the Teams live deals, which represents each a high total contract value. I'm glad to inform that in the second quarter, we were able to sign close to 10 accounts with a total contract value of above $0.5 million, roughly $0.5 million to $1 million, which helps to build for us a very stable growing backlog of monthly recurring revenues for the next 36 months and beyond. Now to our contact center business. Contact center business grew 7% year-over-year in the quarter, and strength in North America and Asia-Pacific. After several quarters of lumpiness in this area, we believe we may be approaching an inflection point in CX bookings growth and more so in live CX deals. Live CX deals show great potential for the future as they relate to the migration of mega contact center accounts from legacy on-prem vendors onto new cloud based contact center implementation and the need to substantially transform and switch the voice access network between different CX vendors is a result of an on-prem to cloud migration disruption. Underlying this growing confidence is a maturation of the deals within healthy pipeline built over the past 12 months, consisting of core SBC Voca CIC entry-level Microsoft Teams, contact center solution and other voice AI application opportunities. I would like to give you an example of a recent live CX contract we signed with a Tier 1 global system integrator in support of a multinational logistics firm. We believe that this deal brings to bear the broad capabilities of our live CX and conversational AI portfolio. Just a brief background, this large global customer intends to migrate over a multiyear period, tens of thousands of contact center agents spread of 200 locations in over 100 countries from a large incumbent on-prem contact center vendor to a CCaaS vendor. AudioCodes was selected as the SBC vendor of choice for the following reasons. One, our SBC managed service saved the customer valuable time and costly internal IT resources that are required for such a large complex migration project. Second, our custom design business continuity solution, leveraging our Voca conversational AI/VR smart compliance recording and WebRTC client. In the event of a service outage in the cloud solution, and in the CCaaS platform, incoming costs would be seamlessly diverted to our solution to our system, thereby ensuring service continuity. Third, having this extra layer of insurance is of paramount importance to this customer and is a key factor in its decision to move to a CCaaS platform. Note that our custom-built architecture has been approved by the corporate division of the customer and could be purchased at individual contact center site levels. This contract carries a multiyear deployment schedule and upon full ramp, annual recurring revenue is expected to reach $1 million without accounting for incremental revenues associated with expected uptake of our business continuity service. Now to services. Services accounted for 47.5% of revenue and grew 2.7% year-over-year compared to 10.8% in the previous quarter, with the deceleration in growth rate primarily related to timing of professional services completion. Notably, our professional services bookings remained strong, up 18% in the quarter, implying healthy growth over the balance of the year.  While this fueled our ongoing momentum in services, primarily in our live subscriptions business, which ended second quarter at $40 million ARR, up from over $36 million last quarter. Additionally, we ended the quarter with total contract value for our live subscription signed from inception of this program, exceeding $120 million, up from over $110 million last quarter, providing us with increasing level of revenue visibility. At this stage, the backlog of managed services projects recurring revenue grows steadily and has shown growth of well over 50% in the second quarter. We expect strong momentum in live services to continue in 2023 and beyond and reiterate our annual recurring revenue target of $46 million to $50 million by the end of 2023. Now to Voice AI. Voice AI business grew over 15% year-over-year. As presented already in the past, we have identified the potential of applying AI technologies to the world of voice back in 2018 when we established the Voice AI Group. Now employing close to 100 R&D employees and which have since engaged in the development of technology and solutions for several advanced AI applications. What's unique in these major investments of ours is the fact that this is in a sense, a departure from our traditional world of voice networking and connectivity to a new world of voice application, which are based on software and application. It's going to be software and services centric. We have since developed several applications, one of which we announced yesterday. Voca Conversational Interaction Center, which is an AI first CCaaS solution in which we target to grow into meaningful new business line for us, which will generate tens of millions of dollars in the next couple of years. In fact, adding Voca CIC to our already existing business of SBC and live CX services and adding in the future a new evolving application of interactive analytics, we believe we are creating a very strong second leg of the CX business side-by-side with our successful business of voice solutions for the unified communication as a service line. Voca Conversational Interactive Center, our entry-level Microsoft Teams native AI-first contact center is garnering significant customer interest in 2023, as enterprises are increasingly looking to leverage Teams for true consolidation of UCaaS and CCaaS. As announced yesterday, Voca CIC is now officially certified by Microsoft Teams contact center solution. We also made significant progress in our conversational AI lines. We made good progress on other lines, we'll touch them immediately. So, let's talk about the different lines. Let's talk about Voice AI Connect. This is a connectivity service supporting voice bots, use cases such as virtual agents and agent assist. Voice AI Connect made good progress in the quarter. Second quarter bookings nearly doubled from first quarter, helped by expansion purchases by multiple customers, which speaks for the efficacy of our solutions and the growing adoption of conversation AI particularly amongst large enterprises. Voca CIC, we have contracts awards nearly doubled sequentially in the quarter and created opportunities pipeline remained robust, growing over three times on a year-by-year basis. What has been fueling our burgeoning success here is a strong position in Teams' voice ecosystem, giving us an attractive installed base from which we can upsell our entry-level CCaaS solution and enterprise customers increasingly look to leverage Teams for both consolidated UC and CX environment. Now let's mention Meeting Insights. This is our meeting room solution. Basically, we have completed the integration of GPT-4, making officially available to end customers productivity enhancement services such as auto generating meeting summary outline and action items, leveraging the power of generative AI. We are not stopping there as we are making investment to build new products to drive more actionable insights for our users and towards the development for own LLM technology. To wrap up, we have executed well in a challenging macro environment, with key growth engine in our core business, namely Microsoft customer experience and Voice AI bookings experiencing measurable improvements relative to the last quarter. Importantly, core business leading indicators, such as pipeline remain robust, while non-core service provider and access fund business lines seem to have stabilized. These factors, coupled with incremental OpEx savings from cost-cutting actions announced last quarter provide us with increasing confidence in our ability to deliver on our commitment of delivering significant improvements in operating leverage over the rest of 2023 and beyond. With that, I would like to turn the call back to the operator for the Q&A session. Operator?
Mason Marion: Hi. Thanks for taking the questions. So, I want to start on product revenues. Can you further elaborate what's driving the continued declines here? And then how are your inventory levels within the channels? And how does that inventory dynamic look for the back half of the year?
Niran Baruch: Yeah. First, with regards to product, indeed, year-over-year, there was a decline, a double-digit decline. But what's encouraging is that sequentially, we had 10% growth in product in the second quarter compared to the first quarter. With regards to inventory, it mainly related -- the increase in inventory mainly relates to one business line or product line, which is the IP phone and also relates to the weakness at the service provider CPE business. We believe effective next quarter, we will start to see a decrease in the inventory level.
Mason Marion: Okay. That's good to hear. And for my second one, I want to -- I'm interested in the Voca contact center solution with Teams. Can you just tell us more about this product? What's the size of this opportunity that you believe you're attacking? And then what kind of customers is this targeted towards? You're focusing on SMBs, mid-market enterprises.
Shabtai Adlersberg: Right. So, basically, the Voca CIC targets entry-level CCaaS solution. We basically target both customer experience and enterprise experience agents. If you think about desks that would be using IT environments, HR desk, sales, travel desk, legal, et cetera. It would be very useful. Usually, we target in the initial phase, a level of tens of agents. However, the product is designed at this stage to be able to answer with customers that have up to, let's say, 500 agencies.
Mason Marion: Okay. I understand. Thanks for taking my questions.
Operator: Your next question is coming from Ryan MacWilliams with Barclays.
Unidentified Analyst: Hi. This is Damian [indiscernible] calling in for Ryan MacWilliams. What are you driving commentary around future large enterprise contact center deals? And did you see any of those deals close in the second quarter?
Shabtai Adlersberg: So, we are actually already active in this market. And we have -- as I've mentioned, on our call, we already have -- the bookings growing substantially in the first half of the year. We definitely -- look, we just delivered a deal -- well, we just signed a deal close to $1 million with a large U.S. based organization. And we are fairly competitive. We get all kind of indication that we are able to replace known and incumbent players due to the fact that the solution is very advanced native to the Microsoft Azure and Teams environment. And once we are able to consolidate UCaaS and CCaaS in a single solution, that seems to be quite attractive to the customer base that intends to use Teams as its UC platform.
Unidentified Analyst: Got it. Thanks. That's all from me. Back in the queue.
Shabtai Adlersberg: Sure.
Operator: Your next question for today is coming from Greg Burns with Sidoti & Company.
Gregory Burns: Good morning. The large service provider that is going to be deploying using you for Teams Live. Can you just talk about that opportunity in that channel? Is that the first large service provider using you in that capacity, and what the pipeline of maybe other opportunities look like for you there?
Shabtai Adlersberg: Yeah. So, actually, we're talking about a derivative of the live services, which we called Teams Live Cloud. Live Cloud target service providers that typically will sell the live services to their own business customers. We already have a pack of more than 50 such service provider, although some are smaller in size. We are active in that area for the past 18 months, already generating monthly recurring revenues in the order of a few hundreds of thousands of dollars.  And basically, the idea if you take a name in the first tier or second tier service provider, each of them would be basically looking to empower its business customers with live services, live club services from us and it should grow. I mean, we're just in the first innings of that product, but quite advanced. The product, by the way, supports not only Teams, but also will support shortly also Zoom solution and probably also WebEx solutions. So, all in all, it's the only true multi-platform solution out there that should be able to get on board fairly quickly smaller accounts into a very powerful UC service.
Gregory Burns: Okay. And then, the improvement you saw in the Microsoft business this quarter sequentially. Have you seen that continue into this quarter? Are you seeing businesses more willing to move forward with maybe projects that were delayed? What's the market environment look like there around Microsoft? And then, looking forward, should we just expect the growth of Microsoft now just to line up with teams at this point? Thanks.
Shabtai Adlersberg: Sure. Yes. Well, the environment is really -- we saw improvement in the second quarter. I think, the question that hoover in the first quarter, whether we're going into a recession or not. I think in the second quarter that went a bit away. So, businesses are willing to invest more moving forward with their projects. So, all in all, yeah, regarding the split between Teams and Skype for Business, yes, we are glad to say that we are really at the end of the decline in Skype for Business, which hurt the Teams growth. So, yeah, going forward, the main businesses Teams and it's growing nicely. I would expect that business to continue to grow in the range of 15% to 20% year-over-year.
Gregory Burns: Okay. Thanks. And then, just lastly, how much revenue you're generating from your Voice AI suite of products now? And how much do you expect that to grow this year?
Shabtai Adlersberg: So, I think I gave some numbers in the past. Last year, we did close to $6 million. We plan this year to grow at least 50%. But as several of our applications are maturing this year, we do expect even larger growth to start next year. So, next year, I would count on a 50% to 70% growth. All in all, we have just to give you an idea. We have four different areas of activities. I've mentioned Voice AI Connect, which is already selling in several millions a year. We just started out with Meeting Insights. We do have Smartapp, which is a compliance solution. We have the Voca CIC, which again shows very strong ramp-up in bookings. And we will plan on adding interaction analytics going forward. So, as I've mentioned on the call, we believe that these many different activities in the CX, the customer experience market will definitely help us grow conversational AI rapidly over the next years.
Gregory Burns: Okay. Great. Thank you.
Shabtai Adlersberg: Sure.
Operator: Your next question is coming from Ryan Koontz at Needham & Company.
Ryan Koontz: Hi. Thanks for the question. First, a clarification on my interpretation as we think about the live subscription, $40 million ARR and new product revenue at $30 million. Is it fair to interpret that with the transition from license to subscription for new footprint going out the door right now is around 25% subscription. Is that a fair assessment?
Shabtai Adlersberg: Pretty much. Yes, at this stage, I think we have gone pretty upward with our live subscription. I believe that in terms of bookings that's close to 25% of our overall Teams business.
Ryan Koontz: That's great. And then, circling back to contact centers. Can you update us on any of your strategic kind of partner developments in this space be it some of the big players like Genesis and Five9 or any pure CCaaS players, including Amazon progress with there? Any updates on your kind of strategic plans with your contact center partners, would be helpful. Thank you.
Shabtai Adlersberg: Right. So, yeah, actually, we enjoy quite a success in the second quarter. We won and have described we own a multi-million deal of seven, eight years with a large system integrator moving a large logistics company from an on-prem vendor who seems to be losing steam into a cloud contact center solution. Our hall of fame is our voice capabilities. We -- well, providing a solution to a fairly complex voice network that may include 200 different sites in 100 different countries, different locations, different -- that's definitely a difficult task. And yes, I think that capability of ours has not gone discovered by some of the large contact center names that you have mentioned. So, yes, we do have a fairly close discussion with some of these partners that see us as a strong partner who can help them in solving all kind of issues. I've mentioned business continuity solution. There are some switching and first-mile solutions. So, yes, we are in a very strong discussion with players in the field.
Ryan Koontz: That's great. Thanks very much. Appreciate it.
Shabtai Adlersberg: Sure.
Operator: Your next question is coming from Tal Liani at Bank of America.
Tal Liani: Hey, I hope you can hear me.
Shabtai Adlersberg: Hi, Tal. We can hear you.
Tal Liani: I want to ask you about the environment in the context of last quarter, Microsoft was weaker. This quarter, Microsoft is better. Does it mean that the environment is getting better, meaning the visibility has improved, or any better signed deals, did they work through inventories? Kind of when you look at last quarter that was pretty dire. And this quarter, when you look beneath surface, you can see some signs of I don't know if it's stability or even some growth. I want to understand if it means something, or it's not, just if you can tell us about spending. Thanks.
Shabtai Adlersberg: Sure. So, I've mentioned that we feel second quarter was better in terms of the overall environment and willingness, I would say, of management of cooperations to start spending more on modernizing their communication and collaboration solutions. And in that regard, I've mentioned that Teams users, we have overall worldwide 300 million. Voice have been applied to less than $20 million at this stage. I mean, Teams phone. So, there's a huge, huge runaway in front of us. And I think that once the climate is better economically, we do see the environment better. So, yeah, we see it quite stable, and we'll be able to further grow in coming quarters and years.
Tal Liani: Now, there is expected acceleration in the second half. Is it based on contracts you already have? Or is it just normal seasonality? I'm trying to understand the risk in the acceleration.
Shabtai Adlersberg: Well, so far, we have not met any such risk. If you take our annual recurring revenue, which basically tells you that is the most important parameter for us. We're stepping fairly steadily. Just like an ARR solutions that growths, we grew 100% a year, then declined to 80%. This year, we will grow 60%. We're talking about tens of different projects. So, all in all, the statistic is there. The coverage is nice. By the way, one very important thing is that we're starting to see, as I've mentioned on the call, some very high total contract value projects, which could range from $1 million to $3 million over 36 months. All in all, very stable and promising environment for live deals in Microsoft Teams environment.
Tal Liani: Got it. Last question. Sorry, I'm taking too much time. I think there was a question about it before me, but maybe it wasn't. One of the problems we have in the industry is two things. Number one is channel inventory that companies just bought too much. And number two is too much backlog. So, even when you see growth, it's coming from backlog, it's not coming from orders. Can you refer to these two things?
Shabtai Adlersberg: Yeah. Actually, we've been on the opposite side of defense, right? I mean, in the first quarter, we dropped simply because partners who used to buy a product and sell them to their customers stop buying due to the higher cost of money. So, we see -- we saw in the second quarter that some of them probably emptied already their inventory. So, we started to see some growth in the second half of the quarter. And going forward, we're already -- we are past July and we see that trend continuing. So, I believe that in the second half, we will see, at least for us, more orders that would use to fill up those inventories.
Tal Liani: Got it. Thank you.
Shabtai Adlersberg: Sure.
Operator: We have reached the end of the question-and-answer session. And I will now turn the call back to Shabtai for closing remarks.
End of Q&A:
Shabtai Adlersberg: Thank you, operator. I would like to thank everyone who attended our conference call today. On the heels of good second quarter and with more focused planning and better control of expenses for the rest of 2023, we have high confidence in our ability to expand our business this year and in coming years. We look forward to your participation in our next quarterly conference call. Thank you all. Have a nice day.
Operator: This concludes today's conference and you may disconnect your lines at this time. Thank you for your participation.